Operator: Hello and welcome to the LyondellBasell Teleconference. At the request of LyondellBasell, this conference is being recorded for instant replay purposes. Following today's presentation, we will conduct a question-and-answer session. 
David Kinney: Thank you, operator. Hello, and welcome to LyondellBasell's fourth quarter 2020 teleconference. I'm joined today by Bob Patel, our Chief Executive Officer; and Michael McMurray, our Chief Financial Officer. Before we begin the business discussion, I would like to point out that a slide presentation accompanies today's call and is available on our website at www.lyondellbasell.com. Today we will be discussing our business results while making reference to some forward-looking statements and non-GAAP financial measures. We believe the forward-looking statements are based upon reasonable assumptions and the alternative measures are useful to investors. Nonetheless, the forward-looking statements are subject to significant risks and uncertainty. We encourage you to learn more about the factors that could lead our actual results to differ by reviewing the cautionary statements in the presentation slides and our regulatory filings, which are available at www.lyondellbasell.com/investorrelations. Reconciliations of non-GAAP financial measures to GAAP financial measures, together with other disclosures, including the earnings release, are also currently available on our website. Finally, I would like to point out that a recording of this call will be available by telephone beginning at 1:00 PM Eastern Time today until February 28 by calling 800-846-0305 in the United States and 402-998-0543 outside the United States. The passcode for both numbers is 6541. During today's call, we will focus on the fourth quarter and full year results, the current environment, our near-term outlook and provide an update on our growth initiatives. Before I turn the call over to Bob, I would like to call your attention to the non-cash lower of cost or market inventory adjustments or LCM that we have discussed on past calls. These adjustments are related to our use of last-in first-out LIFO accounting and the recent volatility in prices for our raw materials and finished goods inventories. During the fourth quarter, we recognized pre-tax LCM benefits totaling $147 million compared to LCM charges of $163 million during the first nine months of 2020. During the third quarter, we recognized a non-cash impairment charge of $582 million related to our Houston Refinery. Comments made on the call will be in regard to our underlying business results, excluding the impacts of the refinery impairment and the LCM inventory adjustments.
Bhavesh Patel: Thank you, Dave, and good day to all of you participating around the world. We appreciate you joining us to discuss our fourth quarter and full year results for 2020. Let's turn to Slide 3. 2020 was unlike anything we have ever seen or experienced, oil price volatility, a global pandemic and an associated recession. To call this year unprecedented would be an understatement. So before we get into the results today, I want to take a few minutes to provide some context around our approach to navigating the past year, because I think it speaks well to who we are as a company and the character and talent of our team. Early in the year, as it became clear that the virus is becoming more widespread, our leadership team established three guiding principles for the short term; number one, protect our employees and communities; two, keep our commitments to our investors; and three, take actions to strengthen the company for the future. In past earnings calls, I've talked about some attributes of our culture; operational and commercial excellence, cost management and capital discipline. These qualities served us particularly well during 2020 as we bolstered liquidity by rapidly accessing capital markets, minimizing working capital and efficiently generating cash. Importantly, we honored our commitment to an investment-grade credit rating and continue to fund dividends and capital investments with cash from operations. As we review our results today, I hope the outcome of these priorities and the benefits of this culture will be clear. Beyond the strategy itself, I also want to take a moment to acknowledge our global team that delivered our results. These individuals, both those who were able to work remotely and those who continue to work on the front lines at our manufacturing sites form a strong and nimble team. They have my sincere and deepest gratitude. If the pandemic reinforced anything, it is the value of our products and industry in serving modern society's needs. Knowing that the materials produced by our plants go into end products like face masks, medical gowns and COVID-19 test kits, our team took immediate action to ensure our manufacturing sites would continue to supply our customers, while prioritizing the safety of our workforce. I'm very proud to say that not only did we continue to operate reliably, but to date there have been no cases of workplace virus transmission among our employees.
Michael McMurray: Thank you, Bob, and good morning, everyone. Please turn to Slide 7, and let me begin by highlighting our track record of improving cash conversion. The benefit of efficient cash conversion becomes more apparent during periods of economic downturns when liquidity provides defense against risk from volatility and uncertainty. Over the past year LyondellBasell converted 88% of our EBITDA into $3.4 billion of cash from operating activities. As a result of the challenging market dynamics in 2020, our business teams took aggressive actions in managing inventories to drive free cash flow and maximize liquidity to release more than $300 million of cash from working capital. We are pleased to report that despite the downturn, we've fully funded $1.4 billion in dividends and our $1.9 billion capital investment program through cash generated from operating activities in 2020. The $4.20 per share of dividends paid by our company during the year extends LyondellBasell's track record of consistently paying and increasing our base dividend over the past 10 years. Let's continue to Slide 8 and review further details of our cash generation and deployment throughout the year. As you can see, we increased the amount of cash in our balance sheet by approximately $1.4 billion during 2020, to end the year with $2.5 billion in cash and liquid investments. Cash from operations fully funded a small amount of share repurchases in the first quarter of 2020 as well as the full year's dividends and capital expenditures. In 2020, we accessed very attractive debt capital markets to extend maturities of existing debt, fund acquisitions and bolster liquidity. These borrowings increased gross debt by $3.9 billion relative to the prior year. A portion of the new bonds funded the $470 million equity contribution for our joint venture with Bora in China, and the $2 billion acquisition of our 50% share of the Louisiana integrated polyethylene joint venture with Sasol. We incurred about $70 million in pre-tax cost due to our fourth quarter refinancing activities. We ended the year with $5.2 billion of cash and available liquidity that enabled us to reduce the balance of our term loan by $500 million in January of 2021. We will continue to prioritize deleveraging over the course of this year, which should allow us to further strengthen our investment grade balance sheet.
Bhavesh Patel: Thank you, Michael. Let's turn to Slide 10, which illustrates our quarterly profitability over the past five quarters. Unlike a typical year where LyondellBasell's business portfolio would follow a seasonal trend with peak earnings occurring midyear, the pattern seen in 2020 are reversed with higher profitability in the first and fourth quarters. The rebound in profitability since the second quarter has been remarkable as the global economy proceeds on a path to recovery. EBITDA in the final quarter of 2020 was $1.3 billion, the highest for any fourth quarter since 2017, and more than $375 million higher than the prior quarter. The trajectory supports our belief that pandemic-driven reductions in demand for our products bottomed during the second quarter. Our Olefins and Polyolefins segments served strong consumer-driven demand for packaging and non-durable products throughout the year, while our Intermediates and Derivatives and Advanced Polymer Solutions segments benefited from improving industrial sector demand for durable goods during the second half of the year. We have only seen modest recovery in the demand for transportation fuels. Our Refinery and Oxyfuels & Related Products businesses continued to experience headwinds from excess capacity and slack demand due to persistently low global mobility. While we would naturally prefer to see strength in all of the markets we serve, the geographic and end-market diversity of our product portfolio continues to provide offsets that help to dampen business cycles. Let's turn to Slide 11, and look at the latest thoughts from consultants on the global polyethylene business cycle. Industry consultants have forecasted that capacity additions, especially in China, could outpace global demand over the next four years. These predictions seem reminisce in the forecast from consulting reports published in 2016 depicted by the dotted blue line, which predicted global operating rates would get due to the capacity additions on the U.S. Gulf Coast from 2017 through 2018. The actual operating rate depicted by the solid line demonstrates that press releases announcing capacity additions often have ambitious timelines and typical delays in construction and commissioning can allow consistent demand growth to absorb capacity additions with less impact on operating rates and margins than predicted. In addition to delays in capacity additions, we believe recent forecast underestimate growth in demand. Early in the pandemic many predicted declines in PV demand for 2020. By the middle of the year, forecast improved to flat demand, most consultants now believe that global PV demand grew by approximately 4% in 2020, similar to growth rate seen consistently over the past 30 years. Adjusting these forecast to 4% demand growth for both 2020 and 2021 results in a predicted operating rate depicted in the dotted gray line. If 2021 follows pattern seen after prior recessions and demand growth rebounds to levels higher than 4%, then operating rates would accordingly move upward. Our rebounding economy that increases 2021 global polyethylene demand by 7% followed by a reversion to consultant forecast of 4% growth thereafter would generate the robust operating rate forecast depicted by the dotted orange line. In summary, we believe the next wave of capacity additions will result in operating rates within the boundaries of a balanced market. The next wave of capacity additions will undoubtedly occur, but we believe that typical project delays, a few project cancellations and perhaps increased demand from a recovering economy could contribute to a more orderly absorption of the new capacity by the global markets. Let's review the fourth quarter results for each of our segments. As mentioned, my discussion will describe our underlying business results, excluding the noncash impacts of LCM inventory changes and the impairment of the Houston Refinery. I will begin with our Olefins and Polyolefins Americas segment on Slide 12. Fourth quarter 2020 EBITDA was $722 million, $318 million higher than the third quarter. Margins improved on higher pricing driven by higher demand for both Olefins and Polyolefins. Olefins results increased $185 million compared to the third quarter of 2020. Margin improved on higher ethylene and propylene pricing. Volume increased with improved demand. Combined polyolefin results were approximately $65 million higher than the third quarter, primarily due to an increase in polyethylene and polypropylene spreads over monomer. For the full year, results decreased by $514 million, margins declined for both Olefins and Polyolefins, driven by lower prices for Olefins co-products and polyethylene, despite lower feedstock costs. Lifestyle changes associated with the pandemic drove increases in demand for non-durable packaging and consumer goods providing strength in the polyethylene market and increased volumes for ethylene and polyethylene. Based on strong February orders, increasing seasonal demand and tight industry supply, we expect robust margins to continue into the first quarter. Now please turn to Slide 13 to review the performance of our Olefins and Polyolefins Europe, Asia and International segment. During the fourth quarter, EBITDA was $251 million, an increase of $120 million compared to the third quarter. Improving demand for polyolefin and a full quarter of contribution from our Bora joint venture increased both polyolefin volumes and equity income. Olefins results were relatively unchanged with lower margins due to increased maintenance expense, partially offset by increased volume. Combined polyolefin results increased more than $20 million, driven by higher demand and volumes from our Bora joint venture. Equity income increased about $60 million with more than half of that improvement arising from Bora. Full year EBITDA was $236 million lower than 2019. Margins declined in both Olefins and Polyolefins due to lower polyolefin and ethylene prices outpacing lower feedstock costs. Polyolefin demand remained relatively stable with increased sales from the start-up of our Bora joint venture during the fourth quarter. In Europe, we expect typical seasonal improvements as we progress through the first half of the year. Please turn to Slide 14. Let's take a look at our Intermediates and Derivatives segment. Fourth quarter EBITDA was $196 million, a decline of $49 million from the third quarter 2020. Compressed margins for Oxyfuels & Related Products, driven by weaker gasoline demand and prices muted the margin improvement in our Propylene Oxide & Derivatives business. Fourth quarter Propylene Oxide & Derivatives results increased approximately $25 million due to significantly higher Asia propylene oxide pricing, driven by strong demand and tight markets supplies. Intermediate Chemicals results were relatively unchanged. Oxyfuels & Related Products results decreased by approximately $10 million, a small volume improvements or more than offset by margin declines due to continued lower gasoline prices and higher butane feedstock costs. During 2020 EBITDA declined $714 million compared to 2019. Margin declined in most businesses, primarily in the Oxyfuels & Related Products and Intermediate Chemicals businesses. Volumes for most businesses also declined due to lower demand, partially offset by increased Asia demand for our Propylene Oxide & Derivatives products. In the first quarter of 2021, we expect margins to be relatively flat as market tightness in Asia is alleviated by higher industry supply. Our volumes will be impacted during the first quarter due to planned maintenance at our Channelview propylene oxide and styrene monomer unit. Now let's move forward and review the results of our Advanced Polymer Solutions segment on Slide 15. Fourth quarter EBITDA was $126 million, a $9 million increase over the third quarter 2020. Volumes increased with improved demand in the automotive sector partially offset by lower margins. Results for both Compounding & Solutions and Advanced Polymer businesses were relatively unchanged. Within our Compounding & Solutions business volumes increased as automotive manufacturers ramped up production. Margins declined as a result of product prices lagging price increases for propylene feedstocks. Full year EBITDA for the segment was $381 million, a $51 million decline over 2019. Compared to the prior period, results benefited from an $80 million reduction in integration costs. Volumes decline would significantly lower automotive, appliance and construction demand, partially offset by higher margins as a result of product mix. We expect continued recovery in industrial durable goods demand, particularly for products from our Advanced Polymers business during the spring. At our Investor Day in 2019, we announced an increased target of $200 million of synergies from the A. Schulman acquisition. We have successfully implemented our synergy plan, and we are beginning to capture an annual run rate of more than $200 million, which will become increasingly visible with volume recovery in the Advanced Polymer Solutions segment. Now let's dig a little deeper on how the recovery in durable goods demand is playing out in the polypropylene and compounds markets for our company on Slide 16. China's rapid response to control COVID transmission and stimulate industrial production resulted in strong demand growth despite the pandemic. Automotive production in China was up 6% in the fourth quarter compared to the same quarter last year, and China polypropylene demand for the full year 2020 increased by 10% over 2019. The strength in durable goods markets is also evident in LyondellBasell's metrics. Our polypropylene inventory levels hit all time lows in both North America and Europe on strong market demand. In North America, construction activities increased in the fourth quarter with a 5% year-over-year increase in demand for single-ply thermoplastic roofing materials that utilize our Catalloy advanced polymers. Looking at our own order books for polypropylene compounds, engineered plastics and Catalloy within the EPS segment a nice V-shaped recovery is shown in the chart where the forecast for January suggests the first quarter that is nearly the same level seen in the first quarter of 2019. Tight markets, low inventory and strong orders indicate that markets for polypropylene-based durable goods are showing strength going into the first quarter 2021. The increased demand for our polypropylene compounds, engineered plastics and Catalloy products should benefit the EPS segment in 2021. Now let's turn to Slide 17 and discuss the results of our Refining segment. Fourth quarter EBITDA was negative $74 million, a $47 million improvement versus the third quarter of 2020. As I discussed earlier, this excludes the impact of both LCM and impairment of the Houston Refinery in the third quarter. Results for the fourth quarter were driven by an improvement in margins due to lower fixed costs and improved margin capture Improvements in the Maya 2-1-1 industry benchmark crack spread were more than offset by increased costs for Renewable, Identification, Number of credits, or RINs. Similar to the prior period, we operate the refinery at about 80% of nameplate crude capacity to match with its demand with an average crude throughput of 214,000 barrels per day. Full-year EBITDA was negative $289 million, $224 million lower than 2019. Refining margins were compressed due to pandemic driven reductions in demand for gasoline and jet fuel. The Maya 2-1-1 spread was at a historically low point during the year and averaged $12.63 per barrel. 2020 crude throughput was limited to an average of 223,000 barrels per day as we actively managed operations to match the reduced market demand. Refining margins are expected to move sideways until demand for gasoline and jet fuel improves. We plan to continue operating the refinery at about 80% of nameplate crude capacity during the first quarter. We remain diligent with efforts to reduce expenses and minimize losses at our Houston Refinery and we'll continue to evaluate production decisions as the market evolves. Please turn to Slide 18 as we review the results for our Technology segment. EBITDA was $45 million during the fourth quarter and was $324 million for the full year. Fourth quarter Technology profitability declined due to a lower number of licensing revenue recognition milestones. Catalyst margins increased due to inventory mix improvements probably offset by decrease in volumes as customers managed year-end inventories. Based on the timing of anticipated licensing milestones and improving catalyst demand, we expect the first quarter Technology business profitability to improve to a similar level as in the first quarter of 2019. Please turn to Slide 19 for a refreshed view of our value-driven growth investments. Our company is executing on a clear and straightforward strategy to increase free cash flow by harvesting new sources of EBITDA generation, while moderating our capital expenditure budget to $2 billion or less for each of the next three years. The formula is simple. More EBITDA and moderating capital expenditures should improve free cash flow at any point in business cycles. Let me summarize the year's highlights and outlook with Slide 20. During 2020 LyondellBasell remained true to our strategy of capturing value and delivering resilient results at all points in the cycle. We delivered on our commitments to investors, served our customers and supported our employees, while moving forward on sustainability initiatives. By maximizing cash generation and prioritizing liquidity, we maintained our investment grade rating and extended the continuity of our dividend. Demand for consumer-driven goods remained strong and durable goods markets are rebounding with increased industrial activity. As global mobility improves, we expect that demand and margin for fuels from our Refinery and Oxyfuels & Related Products businesses will follow. Over the past several years LyondellBasell has captured opportunities through disciplined and profitable growth investments whether building, acquiring or partnering on assets. Our company focused on leveraging our technology, building on our advantages and increasing our earnings capacity. Our path is clear. LyondellBasell will remain focused on meeting our commitments and pursuing a disciplined financial strategy. With robust cash generation and ample liquidity, we plan to continue strengthening our balance sheet and optimizing our portfolio during 2021. We look forward to sharing our progress toward developing more circular business models for our industry and creating a more supportive culture for our workforce that will allow all of us to continue delivering sustainable results for years to come. In summary, our strategy has served us well and now LyondellBasell is poised to emerge from this pandemic with more earnings power and free cash flow potential. We are now pleased to take your questions.
David Kinney: Hello, Amanda, are you on mute?
Operator: Can you hear me, sir?
Bhavesh Patel: Yes, we can.
Operator:  Our first question comes from Steve Byrne. Your line is open.
Steve Byrne: Yes, thank you. On the topic of sustainability, I'm curious to hear your estimate of your - can you hear me okay?
Bhavesh Patel: Yes. Yes. Go ahead. There is a bit of background noise. Amanda, perhaps this is on your side. Go ahead Steve.
Steve Byrne: Okay. The - what fraction of your polyethylene volumes are sold in their end markets, where customers are asking for some type of a sustainable product? I'm curious to hear your view, whether this is a push by your initiatives or is this being pulled by the end market customers that you're selling into? And of that fraction, how would you split it into the three buckets that you're working in? You have the mechanical recycling JV with SUEZ, you have the pyrolysis molecular recycling project, and then you also have the bio-based feedstock project with Neste. Which of those three do you think are really driving us? Or do you think those end market customers are really above the line?
Bhavesh Patel: Thank you, Steve. Good morning. First of all, in terms of how much of our polyethylene demand our customers are asking for sustainable products, I mean, if you think about our sales of polyethylene more than half of it goes in the packaging, whether it's flexible or blow molded bottles or those sorts of things. So I think it's safe to say more than half, probably close two thirds over time, we'll want to have sustainable products as part of the mix that we sell them. In terms of their preference, for food packaging, clearly, the molecular recycling would be the most desirable because essentially what we're doing is we're creating new feedstock and producing FDA approved resin. So our molecular recycling will be the most important development as we look at the next five to seven years, but I think mechanical recycling will continue to play a role. And that's where we're capturing the near-term opportunities. And as you know, we have a molecular recycling pilot plant that we built in Italy. We're working - I had a review with my R&D team, in fact, this week, and they are working diligently to perfect the technology and get to semi works as soon as possible.
Operator: Our next question comes from Bob Koort. Your line is open. Bob Koort, your line is open.
Bob Koort: Thanks very much. Bob, I was hoping you could give us an update on how the commercialization of your two new JVs is progressing, and maybe some milestones there?
Bhavesh Patel: Yes, so good morning, Bob. Things are going very well. So I'll start with Bora. We have - we've stacked up in the marketing side, both sales and customer service. We have a full-fledged organization. Local leadership in China ramping up our marketing efforts to sell more directly rather than through trading activities. So we're selling 100% of the polymer output over there in Bora, and things are going quite well. I will tell you it's increased our visibility on the market and demand trends. And so all the things we thought would occur when we had a bigger presence. We're starting to see that. Sasol JV, we're operating the facility as part of the agreement. We have - the site manager is a LyondellBasell employee. He was a site manager of one of our sites here in Houston. The marketing of the products is just part of our usual marketing that we do on other polyethylene grades that we already producing. So my sense is that the integration has been very seamless. And both JVs are really now part of the system.
Operator: Our next question comes from Arun Viswanathan. Your line is open.
Arun Viswanathan: All right. Thanks for taking my question. Good morning. I guess I just wanted to get your thoughts on, again the polyethylene market as well as the polypropylene markets. So in polyethylene, I guess, conditions have definitely held up a lot better than what lot of us had thought. And now with the durables, market kind of recovering. I guess, do you expect maybe a little bit of give back in Q2 as operating rates pick up, and we see little bit more supply coming to the market? Or do you expect kind of price resilience? And then in polypropylene, maybe similar questions we've seen a real surge in monomer. And so how does that kind of translate to your outlook for polymer pricing and margins downstream? Thanks.
Bhavesh Patel: Good morning, Arun. Both are very tight. So let me talk about polyethylene first. Speaking for ourselves and inventory is still very low. In fact, we're looking for opportunities to build back some inventory, but because demand is so strong, we're not able to do that. On the pricing front January price increase discussions are essentially finished and the implementation of the increase is going to occur. The next increase for February is on the table and likely there will be very good discussion about that as well. If you think about markets being tight in January, typically as we go into the spring, we see a seasonal uptick in demand. And so I think that supply-demand fundamentals are going to remain tight through the first half of the year for polyethylene. And polypropylene, similarly, as you said, propylene prices run up quite a lot. But inventories are still low, we're struggling to build inventory because demand is so good. And as you said about durables, probably applies more to polypropylene. As the economic recovery really takes hold in Europe and U.S., I think we're going to see probably more pool from durable goods end uses. So we're quite constructive of about both frankly. It looks tight through the first half of the year. And the other thing I would add is, there is quite a bit of downtime on - a planned downtime in the industry for crackers. So that's going to keep monomer prices probably high through the first half of the year. There is also a very large PDH turnaround here on the Gulf Coast. So that will keep propylene pretty strong through May, I would imagine.
Operator: Our next question comes from Vincent Andrews. Your line is open.
Vincent Andrews: Bob maybe just to follow up on the polyethylene demand. In one of the slides, the capacity utilization slide, you put the scenario out there where demand could grow 7% in 2021. And I'm just wondering if you could bridge us between the sort of 4% expectation and what would get it up to 7%. And within that, as a follow-up to one of your earlier comments on sort of expecting the normal seasonal improvement in demand in the second and third quarter, does the COVID environment minimize that at all with everybody at home, and what have you or do you think we'll still see the same seasonality in demand? Thanks.
Bhavesh Patel: Sure, Vincent. So, first of all, what we were trying to illustrate with that chart is that it won't take much for the operating rates to just go flat from here, 3% additional demand in one year. Now, typically in recovery years, we've seen demand growth above trend line in the first year or even two post recessions. To your question about how do you bridge the 4 to the 7, first of all, in polyethylene, here in the U.S. the pipe market has been very, very weak. And if there is an infrastructure bill as oil and gas starts to come back a bit, I think that could help demand growth here in the U.S. and likely if there's infrastructure spending in Europe in China, I mean you could really see that market contribute to bringing the 4 to 7. The other is --there still enough durable goods content or industrial demand or for example like industrial bulk containers. As industrial activity picks up, I think, we'll see recovery or higher demand rates for polyethylene. So I don't think it would take much to get to the 7%. And when you factor that in, it looks like operating rates could stay elevated through over the next few years.
Operator: Our next question comes from Mike Sison. Your line is open.
Mike Sison: Nice end of the year. Bob, it sounds like Schulman worked out really well, I guess, similar to our brands, so hopefully enjoyed the season. But are there any other opportunities for bolt-on acquisitions? Your balance sheet is in good shape, maybe to add to that advanced materials segment.
Bhavesh Patel: Yes. So we are pleased with how the APS segment has really evolved. What I'm most pleased about is that the integration is essentially complete. And so now as we face into recovering markets, the increase in volume should increase earning will see those synergies go straight to the bottom line. And that's really ahead of us. So the best is in still in part of us for APS, hopefully the same for our brands. In terms of bolt-on acquisitions, yes, I mean, we're out - we now that the platform is essentially set. It would be very natural if we could find opportunities to bolt-on and add to the segments that are most attractive to us. So we're keeping a watchful eye for that and we'll keep you updated. But given the kind of acquisitions that are possible, the size will be very modest, and it will be more about just roll-ups.
Operator: Our next question comes from Kevin McCarthy. Your line is open.
Kevin McCarthy: Yes. Good morning. Bob, with regards to propylene, the three explanations that we often hear for supply constraints are low refinery operating rates, PDH outages and a light feedstock mix yielding diminish quantities of propylene co-product. Can you speak to those and your view of the sustainability of this tightness in propylene monomer? It's not often we see prices rise $0.22 a pound over a two month period. And so I'm just curious to hear your view on that.
Bhavesh Patel: Yes, Kevin, it's kind of reminiscent of like 10 years ago when we used to see a lot more volatility, and generally when propylene gets close to being sold out any outage causes these kinds of burst in price. I would add a fourth item to your list, which is very robust demand for the derivatives of propylene, not just polypropylene, but the other propylene derivatives, cumene and derivatives and so on. So we've really had a strong pull from all propylene derivatives, which has helped. I think until the PDH outages or turnarounds are behind us, I think we're going to have tightness in propylene. The other thing is propane is very far out today, so - as economic feedstock. So maybe if propane cracking returns in the summer when propane gets cheaper, you could see a little bit more propylene supply. But my sense is that we have a pretty tight propylene market, probably through May.
Operator: Our next question comes from Jeff Zekauskas. Your line is open.
Jeff Zekauskas: Thanks very much. Bob I was just wondering if you could discuss business conditions in Olefins and Polyolefins in Europe and maybe compare them to what they were like in 2019? That is - what is it about the European market going into 2021 that seems to be so strong? And do you see that sustainably strong?
Bhavesh Patel: Sure. Great question. So as you've probably read Jeff that there has been higher incidence of COVID in Europe, lockdowns in various countries, but we've not seen significant impact on demand for Polyolefins. So Polyolefins demand has been has been still very resilient. If you look at EAI across the board and, of course, a lot of that Europe, if you think about our volume - if you compare Q1 '21, how our book is building compared to Q1 '19, we expect that ethylene is going to be up about 15% from Q1 '19 to Q1 '21, polyethylene up 17%, polypropylene up 12%, Q1 '19 to Q1 '21. So it really points to very resilient demand. And as you look forward into the turnaround season, very heavy turnaround season also in Europe, in fact, in April, about 13% of the ethylene capacity is expected to be offline on a planned basis. So I mean, I think we could see tightness through a good bit of the first half of the year based on demand hanging in there even when there spike of COVID rates in various countries. And as the vaccine is distributed, I would think, all of that will settle down and the demand growth we should see year-over-year.
Operator: Our next question comes from Duffy Fischer. Your line is open.
Duffy Fischer: Yes, good morning guys. First question just around polyethylene capacity globally. So how much of effective new polyethylene capacity do you think ran in 2020 versus '19? And then does that number get bigger or smaller on your numbers as we go into 2020? And then the second one is, with Shell Pennsylvania plant, when that comes on, just because of its geographic advantage to some customers, do you think that will be more disruptive than an average plant that would start up in the Gulf Coast?
Bhavesh Patel: Yes. So Duffy, your first question, 2020 was a pretty heavy year for start-ups. So, including our new Hyperzone Polyethylene plant here in La Porte, I think '21, at least based on the schedules that we've seen that are publicly available, '21 should be lighter. And then in '22, we'll see more expansions come through. And that's what's reflected in that supply demand graph on Page 11 of our earnings materials on our slides. So I mean, I think, again, if you go back to what we talked about in the prepared materials, if we have recovery kind of growth in '21, at 7% or something, I think we essentially can absorb what's coming globally. Your question about the Shell plant that we'll start up in Pennsylvania, yes, I mean, certainly there will be temporary dislocation. They'll have to - they will find their way into the market, they'll export some product. But much like when, for example, Sasol started up, there was a quarter - there was a - for quarter, for a month or two, when these large plant start-up. But eventually as long as kind of the overall demand is such that the supply is needed, it tends to find its way to where the demand is. So I don't expect a massive disruption, but I would imagine we'll see some bumps when they do start up.
Operator: Our next question comes from Hassan Ahmed. Your line is open.
Hassan Ahmed: Bob question around two commodities, one on ethylene. As you take a look at the cost curve right now, who would you think is setting the ethylene price? And only reason I asked that is that obviously we've seen a major escalation in the price of Chinese coal? So that's one part. And the other question is around styrene. It seems Q4 volumes are very strong. What are you guys seeing in the near term as far as the styrene market goes as well?
Bhavesh Patel: Okay. So first of all, your question about the prices that are - you're right, the coal price has gone up quite a lot. So I would say CTO and MTO are probably setting the price. It's quite close. And given the high level of demand for ethylene derivatives, some MTO-based ethylene is still needed in China. So I would say those are the price setters. And your second question about styrene. We've already seen styrene come back off again. So we had really nice period in November or early December, but styrene has come back off. I think the way to think about styrene is when all the units are running, the margins will be pretty weak in styrene. Think when there are outages, we could see some improvement, but we're not expecting a lot in terms of contribution from styrene in 2021.
Operator: Our next question comes from PJ Juvekar. Your line is open.
PJ Juvekar: Bob, this strong pricing in polyethylene in December, January and February, three sort of unseasonal months, is that driven by global inventory build, if underlying demand is flat sequentially from 3Q to 4Q? And if it is - that inventory build, usually converters try to buy ahead of this price increases. So I guess my question is, are they trying to scramble to buy right now? And if they buy too much, do we end up with too much inventory in second half? Thank you.
Bhavesh Patel: Yes. Good question. I mean it is - the price strength has been somewhat unusual. But I think, the supply side, so we looked at carefully with the hurricanes that came through the U.S., there were some unplanned outages in Europe, there was just enough to really firm up the market. Speaking for ourselves, we can barely keep up with orders let alone allow any kind of pre-buy. So our team is essentially under pretty strict instructions to not allow pre-buy because we simply don't have the inventory to do it. We're just trying to meet the demand for customers. And many customers are saying, hey, if you're three days late, we're going to run out of product. So I think we find ourselves in a really tight environment. And I think if there is some softness, let's say in February, I can tell you for us, we're going to take the opportunity to selectively build back inventory and get ready for the spring season, which we expect to be robust like usual.
Operator: Our next question comes from David Begleiter. Your line is open.
David Begleiter: Thank you. Bob, how are you thinking about Refining and Oxyfuels profitability as the world comes - gets back to normal? And '22, if it is a normal year, how do you think about the return to earnings of those two businesses?
Bhavesh Patel: Yes, I mean, we're looking forward to and both are contributing again. It's been, as you know, a pretty challenging period. In Oxyfuels we had trouble moving the volume. It's just the margins and have been essentially zero. So part of what I think we - how you should think about LyondellBasell is that recovery and the related earnings are still in front of us. So as driving recovers, we don't even need air travel to recover back to the original or pre-COVID levels. If driving recovers with vaccinations and more domestic travel, we could really see both Refining and Oxyfuels contribute in the second half. And I think that's part of the earnings growth story as vaccinations become more common.
Operator: Our next question comes from Jonas Oxgaard. Your line is open.
Jonas Oxgaard: I was wondering about your feed slate, propane spike and the relative profitability seems to have flipped very rapidly. So question is what does that do to your Q1 margins? And how is your feed slate evolving here?
Bhavesh Patel: Yes. It's good question. So we're really minimizing propane if cracking any at all. We have kind of what we call a barbell feed slate today, it's ethane and it's liquids. So gasoline, naphtha still look decent. And so we're either in ethane or with the other end of the spectrum. And both are profitable given where propylene is and butadiene - you know it's come off a little bit, but still hanging in there.
Operator: Our next question comes from Alex Yefremov. Your line is open.
Alex Yefremov: So I've noticed, typically U.S. exports about half of produced polyethylene. When global freight rates went up, it didn't seem to hurt U.S. polyethylene supply-demand dynamics, but only help that. Could you explain why?
Bhavesh Patel: So, first of all, I mean, I think you have to look at overall demand globally. And if the demand is such that the supply is needed, we find ways to get to meet the demand. Our - so you may be referring, a little bit to the container dislocations and so on. For us, we've not really been impacted by that much. We have long-term contracts. We've been able to continue our exports, primarily down to Latin America and Mexico, but also to Asia. So our exports have been uninterrupted and not really impacted by the spot freight rates or container rates. So we continue this business as usual for us.
Operator: Our next question comes from Frank Mitsch. Your line is open.
Frank Mitsch: Bob, I wanted to come back to the polyethylene Slide 11, you mentioned that 2020 global demand growth was 4%. You guys sold 8% as I do the math between the U.S. and Europe. So could you talk about your operating rate? I mean, obviously, some of that is a Hyperzone capacity that was added. But I was wondering where you're operating rates were and if you could say that relative to the industry average in the sector? And as I'm looking at this chart, is this factoring in any delays whatsoever in terms of Chinese capacity? Or are you factoring in what the press releases have said there?
Bhavesh Patel: Yes, so good morning Frank, or good afternoon. We - so, operating rates in the second half of the year for us in polyethylene were essentially unconstrained. We ran as much as we could. We had some unplanned downtime in Europe and the U.S., but we've essentially been running full since about July-August timeframe. And we expect to do that for the foreseeable future. And, yes, the volume growth was related to Hyperzone operating for part of the year. Your question about the supply side, on that chart on Page 11, we have not put any delays in for Chinese capacity. So it's essentially - we're assuming it's going to come on as advertised in IHS. It's really - that's to illustrate the impact of 7% growth versus 4% growth. How close we are to really having absorbing all of the capacity that's in front of us if we just have one year of more typical economic recovery type growth at 7%.
Operator:  Our next question comes from John Roberts. Your line is open.
John Roberts: You indicated that the balance sheet focus was going to be on debt reduction. Would it be helpful to your credit metrics if the Sasol option came earlier to you and you get full access to the cash flow there? Or would it be better if that comes later given you got to focus on getting your debt down right now?
Bhavesh Patel: Yes, John, I mean, I think, clearly, our focus is to get the debt down now. I don't think that option is going to come sooner. So I think it's a very low probability. Given kind of the earnings profile, I think we could manage, but I don't think that's a plausible scenario. So our focus in terms of capital allocation is debt reduction, first and foremost the modest increases in the dividend and then perhaps buybacks, but those are pretty far away I think.
Operator: Our next question comes from Matthew Blair. Your line is open.
Matthew Blair: Bob could you talk about your net long ethylene position in the U.S.? Are you able to capitalize on this recent spike up in spot ethylene? And then also, have you started to explore ethylene just given the startup of some new export facilities?
Bhavesh Patel: Yes. So, Matthew it's our Sasol acquisition. There has been - we've been fortunate with the timing because ethylene values have gone up, and we've increased our merchant position as a result of acquiring half of that facility. We are not exporting, but we have benefited from the increase in spot price. First and foremost, as you know, has a spot price moves that impacts the contract negotiations. So contract price has been moving up. Most of our formulas have spot contract plans. So we benefit that way. And some of - quite a bit of Sasol volume does have spot sales in it. So we've been able to capitalize on this improvement in ethylene margins that I think we'll probably be persistent through most of the first half of the year because of this very high unplanned turnaround schedule starting in March.
Operator: And our last question comes from John McNulty. Your line is open.
Bhavesh Mahesh Lodaya: This is Mahesh Lodaya up for John. When we look at the volume recovery for polypropylene, we are back to a close to pre-pandemic levels. However, we are obviously still going to see demand recovery from some of the key autos, commercial construction in some of those end markets. So how much of the pre-pandemic base demand has now recovered? And then how much of new permanent ongoing demand was created by the pandemic itself? Thank you.
Bhavesh Patel: Yes. Great question. So I'm going to give you statistics for the first part of your question, and then I'll talk kind of qualitatively about the second half. So if you look at our polypropylene volumes, I'll tell you how Q1 '21, we think is shaping up compared to Q1 '19. In the U.S., we're likely up 14% from Q1 '19 to Q1 '21, and in EAI, up 12%. Another sort of data point is that polypropylene demand in China grew about 10% from 2019 to '20. Now, your second question about pandemic-related, certainly the masks and the medical gowns and all of that, it's been pretty important driver. And frankly, I think even after vaccinations are more widespread, use of masks will still be pretty and I think for most of this year and maybe even into next year. So it's - I don't have a number for you on what percent of the growth was accounted for by the masks. But if I were to estimate, maybe 1% to 2% of the growth is related to masks of the 14% that I mentioned for the Americas polypropylene growth.
Bhavesh Patel: All right. So I think that was our last question. I'd like to just offer a few closing remarks before I let you all go. Thank you for hanging in there. So first of all, with the completion of 2020, you've seen the resilient performance from our company through the first significant downturn since our emergence back in 2010. Our fourth quarter results have given you a preview of our increased earnings power. Going into 2021, we have more assets, strong order books, tight markets and rising economic activity. All of which should provide confidence for continuing improvement into the first quarter. While much of our industry is scheduling high levels of second quarter maintenance, LyondellBasell's planned downtime for 2021 is relatively light. Our assets are ready to capture improving seasonal demand, Refining and Oxyfuels businesses are poised to benefit from increased mobility during the second half of the year. I think all of this positions us well to increase cash flow and continue to strengthen our balance sheet as we work our way through 2021. So thank you for your interest in our company and we look forward to updating you in about 90 days. Have a great weekend.
Operator: That concludes today's conference. Thank you for participating. You may disconnect at this time.